Operator: Ladies and gentlemen, thank you for standing by. And welcome to the Dassault Systemes Fourth Quarter 2020 Full Year Earnings Conference Call. [Operator Instructions] I must advise today's conference is being recorded today. I would now like to hand the conference over to Francois Bordonado. Please go ahead.
Francois Bordonado: Thank you, Alicia. Thank you for joining us on our fourth quarter earnings conference call, with Bernard Charles, Vice Chairman and CEO; and Pascal Daloz, Chief Operating Officer and CFO. Dassault Systemes' results are prepared in accordance with IFRS. Most of the financial figures discussed on this conference call are on a non-IFRS basis, with revenue growth rates in constant currencies, unless otherwise noted. Some of our comments on this call contain forward-looking statements that could differ materially from actual results. Please refer to today's press release and the Risk Factors section of our 2019 d'enregistrement universel our Regulatory Annual Report. All earnings materials are available on our website, and these prepared remarks will be available shortly after this call. Please, Bernard Charles.
Bernard Charles: Thank you, Francois. Thank you for joining, and good morning or good afternoon to all of you. We hope everyone is keeping well. In summarizing our progress during 2020, it was about delivering on our financial and corporate social responsibility objectives. Revenue increased 12% to €4.5 billion, almost 5.5 billion US dollars, so we break the 5 billion line. We maintained a solid operating profitability at 30.2% despite the pandemic and acquisition dilution, and grew EPS. When the health crisis hit and most of the world went into the first lockdowns, we committed to retaining our employees and we did. In addition, we increased our research and development headcount by 10% during 2020. Despite the economic disruption to many industries, we reported software growth in 2020 for Aerospace & Defense, High Tech, Home & Lifestyle, Energy & Materials and Construction, Cities & Territories. The Life Sciences industry grew significantly, becoming our second largest industry, adding Medidata and our other brands. This past year also demonstrated three key points. The mission critical nature of Dassault Systèmes to industries within the three major sectors of the economy we address. Our market leadership across our three product lines: leading in Industrial Innovation, in Life Sciences & Healthcare and in Mainstream Innovation; and the third point, the sustainability of our organization and confidence in the future with our next-generation executive team transitioned into place in a seamless manner. Finally, looking to the years ahead, we will leverage our purpose focused on sustainable innovation, our large potential addressable market of over $100 billion, and our 3DEXPERIENCE platform where the Experience is the Relationship we have as consumers, citizens and patients.2020 Virtual Twin Experiences of Human. I would like to wind back to one year ago – before the word PANDEMIC would become, unfortunately, part of our daily conversations. On February 6, 2020, we introduced our Ambition to extend our focus from things to life. What is the difference between things and life? Life is not made of parts: the human body is one piece of ahyper-connected set. Life doesn’t do standardization: its personalized design, production and usage. And life isn’t used but lived. Life is an experience. So to improve life, we have to invent new ways of representing reality. We have to invent the virtual twin experience of life. We constructed the underlying foundation to be game changing in nature by shifting our thinking – moving from connections to relationships and from making to growing across the sectors we serve. Addressing industries within three sectors of the economy, our objective is to be a game-changer, it is our DNA. In the Life Sciences Industry, we are the leader, mission critical to addressing three key challenges. Creating precision medicine platforms; Deploying digital and AI in developing therapies; and Helping the healthcare industry delivery value-based care. We are extending our portfolio at our customers – both in number of products sold and value delivered thanks to our data-centric approach. Importantly, we are connecting the dots to enable faster innovation and to improve the patient experience. The health crisis demonstrated the ability of pharmaceutical companies to reimagine and shorten the timetable of innovation from 15 years to develop a vaccine to 15 months. Medidata was a critical partner, with its clinical software solutions used in an estimated 60% of COVID-19 clinical trials during 2020.We have a very clear strategy in Life Sciences looking across all of Dassault Systèmes’ assets, our scientific brands, led by Medidata, BIOVIA and SIMULIA, but it does not stop there. We see today, that time to innovation in vaccine development are critical but being able to source materials, maintain batch quality and manufacture at hyper-scale are vitally important also. In addition to our scientific brands, our coverage of pharmaceutical and medical devices companies benefits from our manufacturing assets inside DELMIA as well as SOLIDWORKS, and ENOVIA portfolios. Underscoring our unique end-to-end platform offer for Life Sciences, we signed our first large transaction, combining patient engagement using MyMedidata as well as Medidata EDC, called RAVE, with manufacturing operations and supply chain process optimization provided by other brands within Dassault Systèmes. In addition, we are pleased to share that Novo Nordisk, focused on effective treatments for chronic diseases such as diabetes, has adopted our 3DEXPERIENCE platform to design insulin syringes. This example reflects the convergence of medical devices and drugs and shows that treatments are becoming patient-centric in nature. Novo Nordisk has been a SIMULIA user for a long time.  In Manufacturing Industries, Dassault Systèmes is the software partner for digital transformation thanks to our enterprise platform at each step of the lifecycle -- this is not just a PDM system, it is a business system. We help our customers to be resilient in industries with long life cycles, enabling them to reduce costs, and importantly, to rethink their portfolio and make it more sustainable. Our data centric and online offer leverage direct connections with customers. In Transportation & Mobility Renault has selected us to be the software partner for Software République as they call it, an ecosystem to strengthen their sovereignty in key technologies for the new mobilities and to enable their massive shift to connected vehicles. In Aerospace, Spirit Aerosystems, the world’s largest tier one manufacturer of aero structures, is expanding its adoption of the 3DEXPERIENCE platform to compete for and win contracts on upcoming programs by reducing: Time to Market, Non-Recurring Costs, and Recurring cost through operation and governance efficiency. In Home & Lifestyle, we see the illustration of the power of relationships and our brands. Danish shoe manufacturer and retailer, ECCO, is one of the world’s leading shoe brands. We are pleased to announce that ECCO is adopting Centric PLM to move to e-commerce, one of the major trends in this industry. By the way, they were already CATIA users. In Infrastructure & Cities, we are the challenger of the market and we provide game-changer solutions unavailable from any other competitors by the way. Two examples include: Lithium Valley, who is adopting the 3DEXPERIENCE platform Civil Infrastructure Engineering Solution. This initiative, driven by Western Australia authorities, has the objective to create a manufacturing hub supporting the development and processing of critical minerals and lithium for energy storage – developing batteries with high performance, safety and long-life. We have significant traction in China with the Civil Infrastructure Engineering industry solution experience for energy, transportation and health. With increased expectations on infrastructure, engineering firms need to deliver higher performing designs with lower lifecycle costs, and at the same time stakeholder ecosystems and projects are increasing in complexity and scale, so a new approach is needed, which is exactly what we bring to them. As corporations and investors accelerate their focus on ESG, we believe it underscores how important it has been that Dassault Systèmes is a purpose-driven company. A critical ingredient is the word imagine’. To create a better world, you need to offer solutions that enable you to explore what might be possible, not just enable the methods of yesterday to be performed or even today’s methods. We needed to be able to imagine, in order to initiate manufacturing of vaccines prior to their emergency regulatory approval. We needed to be able to imagine that pharma companies could share their manufacturing capacities so that the approved vaccines could have expanded manufacturing capacities as Sanofi has offered and other pharma companies as well.  Before passing the call to Pascal, I would like to share some of our perspectives and initiatives on ESG. We are active in every challenge the world is facing. At the beginning of 2020, we revealed our 10 Acts campaign. The most recent Act unveiled in December last year is Water for Life to enable industries to consume smarter and protect the world’s most precious resource. We are convinced that Dassault Systemes can be a tremendous lever for sustainable innovation to meet contemporary challenges. We are reducing our footprint with an ambitious CO2 emissions reduction target. We are extending our handprint, which offers an outsized leverage compared to the footprint, in a ratio of 1 to thousands. Handprint is of essence since it has more impact on society and, if we are a digital transformation enabler, we are critical for energy transition thanks to our ability to manage the end-to-end lifecycle of products. With Accenture, we have co-authored a study, revealing the critical role of Virtual Twins in accelerating sustainability. Estimates are that Virtual Twins can bring $1.3 Trillion of economic value and an estimated 7.5 Gt CO2e emissions reductions between now and 2030.  Looking at Social issues, we have been actively working to ensure our goals on Women in Technology. On the Board of Directors where we have 50% representation of women. At the executive level, where women represent 40% - including R&D, Industry, and Platform executives and among managers, where today we are at 30% and pushing higher. Now, Pascal, back to you.
Pascal Daloz: Thank you, Bernard. Good morning, good afternoon to all of you and thank you for joining us today. So let's begin first with a quick overview of our financial performance in Q4. Our financial results came in at the high end of above our guidance. Total revenue increased 5% ahead of our 2% to 4% range at EUR 1.22 billion. Software revenue came in slightly ahead on better licenses performance, and recurring software was well in line. Importantly on organic basis, total revenue was stable year-over-year in Q4 with the software revenue at 3%. Our operating margin came in at 36%, 50 basis points above the high end of our guidance range, thanks to the revenue upside first and also the operating expense tracking to our guidance. EPS was one EUR 1.22, ahead of our EUR 1.15 to EUR 1.20 guidance, including negative EUR 0.02 currency impact. EPS grew 6% at constant currency in Q4. Now let's zoom on the revenue by type in Q4. Software revenue increased 8% slightly ahead of our 6% to 7% expectations. Top 3DEXPERIENCE transactions were across multiple industries such as aerospace and defense, energy and materials, transportation and mobility. And also from a large deal perspective, we saw more geos contributing to the Top 20 deal than we did in Q3 when they were mostly in North America and China. Last deal activity benefited both on our license and subscription revenue. Let's zoom on the license and other software revenue, it came in better than planned, decreasing 9% versus 12% to 15%, or about EUR 10 million higher compared to our guidance. America was the best performing regions with licensees and other software growth positive in Q4. Our recurrent software revenue grew 16% in total, and 9% on an organic basis. Our subscription performance benefited by the addition of Medidata, all subscription SaaS software, with a double digit subscription growth on a comparable basis. We are observing some acceleration, the adoption of subscriptions on an organic basis of double digits in Q4. And our revenue, support revenue sorry, was within line with our expectation as well. So we saw a solid performance for the renewal both regionally and across most of our brand applications. So for the full year, the recurring revenue represented 80% of the total software. Services revenue decreased 19% at EUR 114 million, somewhat better than the range of what we had given. We saw an improvement in signings in Q4, helping bring more visibility for 2021. On the margin site improvement came from the management of subcontractors. But more importantly, all along the year, our focus has been on taking action in services to ensure the go-live for 2020. And to advance our services work benefiting large multi-year deployments on our software. Moving to a regional software review, let's start with Asia first. Software revenue was up 3% in Q4, and China was the best performing geo had 20% in Q4 and 15% for the full year with good organic results and in additions of Medidata. Japan was stable in q4. The softness came from Korea and India in particular where the environments are still difficult in Q4 -- was difficult in Q4. Support revenue growth was very solid across Asia in Q4. And we saw strong uptick in gross for subscription in total and organically. In Europe, our subscriber renew was flat in Q4, however, we did see a number of loss deals in Northern Europe, France, Germany, and Southern Europe. The Americas software revenue increased 23% in total, and 13% on an ongoing basis. And from an industry perspective, we had a strong growth in Life Sciences with Medidata, but also in aerospace on an organic basis. Additionally, we benefited by the breadth of performance across our product lines and brands.  Moving to a review of our software revenue by product lines, let's start with industrial innovations. First, software revenue decreased by 1% in Q4, within that 3DEXPERIENCE platform had a better performance with a number of deals in aerospace, and defense, transportation and mobility, as well as the multiple deals coming from energy and materials and industrial equipments. We also had about 2,700 3DEXPERIENCE go-live this year. Looking at the Europe in total, CATIA grew in Q4 and resisted well in 2020, demonstrating its leadership in key industries such as automotive, and it seems also strong traction with its offer in cyber system. SIMULIA continues to demonstrate good momentum in both structural and electromagnetism. And that remains the case in Q4.  As we outlined in the Capital Market Day in Q4, 2020; we have made significant investment in developing our cloud portfolio, which cover almost 100% of what we offer on-premise. We see cloud gaming acceleration tractions and recent example is with Stevanato Group, a provider of packaging machine use in pharmaceutical industry. They have adopted this 3DEXPERIENCE platform and digital continuity industry solution on the cloud. And this industry solution is helping them speed time to market; reduce IT and total cost of ownership through the cloud adoptions. But also, more important, enabling them to create a virtual twin experience of the entire manufacturing line. For the full year industrial innovation software revenue amount EUR 2.3 billion and represented 57% of the total revenue. Let's move to Life Science product lines. Medidata total revenue was up 20% in the quarter on a compatible basis, with a solid operating margin in performance and the strong cash flow from operations. BIOVIA had a double digit growth in both in Americas and Asia, offsetting in part by tough comp in Europe. Looking at Medidata progress over the last year, Medidata RAVE EDC continues to demonstrate strong market leadership. But in addition, the attach rate of other product solution is very strong, with a number of customers with four or more Medidata products, up over 20% during 2020.  The run rate for patient cloud is also having sharply representing Medidata next EUR 100 million product line. In the Americas, Horizon, a pharmaceutical company, extending this multi-year agreement with Medidata using RAVE EDC, as well as a number of additional cloud products. Horizon is heading Medidata Intelligence Trial Solutions to give them the flexibility and the agility to scale and grow. This agreement is I think an excellent example of how we expand our portfolio as existing customers both in number of products and value we delivered thanks to our data centric approach. BIOVIA saw also strong tractions with BIOVIA Discoverant, supporting the entire manufacturing process lifecycle from process development through scale up and tech transfer to the final production. For 2020, our Life Sciences products line revenue amount of EUR 797 million and accounting for 20% of the software revenue of Dassault Systèmes. Move into the Mainstream Innovations, mainstream innovation software revenue increased 10% in Q4, with SOLIDWORKS growing 7%. Few words about Centric PLM, the world leaders PLM solution for fashion, retail and consumer goods. The software results were up sharply in Q4 on a strong catch up from the prior quarter. They also continue to increase its market presence. We look at some acquisition at 11%. And they are also extending their reach with diversification into food and beverage. And I should add also one comment we see more and more a trend towards the subscriptions globally for PLM, for Centric PLM. Illustrating simulation on the cloud in mainstream innovation is Tiniko, a SOLIDWORKS customer calling base company. They're expanding their relationship adopting the 3DEXPERIENCE platform and simulations capability coming from SIMULIA as part of 3DEXPERIENCE works on the cloud. The early quarter looks promising for 3DEXPERIENCE platform and we will look to see progressing traction with 3DEXPERIENCE cloud based family of solutions. For the full year 2020 mainstream innovation software amount for EUR 938 million and represented 23% of software revenue.  Moving to cash flow, we have the solid growth for the year had 5% to EUR 1.24 billion. And we use EUR 382 million of cash to improve our leverage ratio now 1.8x from 2.5x one year ago. Contract liabilities totaled for EUR 1, 170 million sorry EUR 1.170 billion has about 14% income on currency. Just a few words on acquisition investment where we continue to invest in key specific domain in 2020. With respect to data science last July, we acquired Proxem brining strong artificial intelligence capability, especially in the semantic treatments and the ability to build ontology to complement our capabilities within Netvibes. In November, we acquired NuoDB, a cloud native distributed SQL database leader, where we previously had an equity stake. NuoDB technology has been part of our cloud infrastructure data science strategy for a number of years. But they are becoming very critical, and I think they are unique on the market. The key differentiating element of this technology in the cloud is that they ensure the integrity of the database transactional because we are still managing some transactions. We can scale like a no- SQL database, and it can be distributes around the globe to ensure cybersecurity, and I think this is becoming a must for many of our customers. We have also taken an equity position in AVSimulation in January of this year. This is a provider of realistic virtual world for virtual driving simulations to enable automatic driving certifications. And as you may know, this is becoming critical considering the 2024 regulations constraint where maybe most of the car will have assistance in the driving going to have to be certified. Now, let me share our perspective and financial objective for 2021. There are four takeaways. First, we are initiating a constant currency revenue growth objective of 9% to 10% for 2021. And this is essentially all organic because the contribution of the small acquisition we did last year will represent less than EUR 10 million. We anticipated recurring software revenue to increase about 8% to 9%. And for the license revenue to grow something to 15% and services by 9% to 12%. We are progressively transitioning to a subscription model, as but not at the expense of growth. Cloud represents today about 20% of our revenue and should be one third of their revenue in 2025, roughly more than EUR 2 billion at that time. Second, we are assuming a gradual recovery in business, as you have seen from our first quarter financial objectives and key revenue lines expectations. So with respect to Medidata, strong growth and high visibility are the takeaways. We anticipate total revenue to increase about 14% at constant currency for 2021. Entering the year with a 94% coverage ratio, which is almost three to four points better compared to last year. Fourth, we are targeting an operating margin of about 30.8%. This includes continued operating margin growth at Medidata and sticking to the plans which consist to deliver 200 basis point improvements every year. Finally, our EPS range EUR 4.10 to EUR 4.15, growth of about 8% to 10% with several 100 basis points of currency headwinds embedded in our currency exchange rate assumptions. We estimate the lower tax rate for 2021 about 23.7% versus 25.1% in 2020, largely reflecting some benefit in our French taxes. For exchange rate assumptions versus the euro, we are using 1.22 for the US dollar and 126 for the Yen. We outline in the earnings press release and presentation our guidance for Q1. Let me summarize, we open this past year beginning new horizon setting the stage for the coming decades. And with the pandemic impact, we had to reset our financial outlook for 2020 and postponed by one year, our 2023 five years EPS objective to secure. Looking forward, we see a year of solid organic growth in 2020. And we are confident in our mid-term growth drivers with industrial innovations, mainstream innovation and Life Sciences, thanks to the talented team across the globe, and to our partners as well. None of us could have imagined 2020 in advance but despite the increase of distances, we became closer as a company. And I really want to make a special thanks to our employees, partners, and customers. And I should not forget you guys for the trust and support. So thank you. Now I think Bernard and I would like to take and also your questions. Alicia, could you open the Q&A session please.
Operator: [Operator Instructions] Our first question comes from the line of Nicolas David with Oddo BHS. 
NicolasDavid: Yes. Hi. Good afternoon, Bernard and Pascal. My question, actually, I have two, my first concern the mainstream PLM. Could you please share some metrics regarding the adoption of the 3DEXPERIENCE with works platform, maybe the percentage of new deals that relate to the platform, and maybe also the impact that you're offering -- having under average deal size, and it may be more qualitatively, as vast already are they ready to sell this new solution? Or should we expect some improvement and maybe improvement leading to material impact on growth going forward? And my second question in concerns your operating margin guidance, I mean, you expect the 60 bps margin improvements to secure while Medidata should provide something like 32 40 bps. And while you expect licensed to grow by at least EUR 100 million so and boosting the profitability. So I guess my question is, are you cautious, given the context? Or do you expect to invest significantly? Or do you expect some negative impact from this transition towards subscription or something? Any color would be helpful. Thank you.
BernardCharles: Thank you, Nicola. I think the first one maybe the self yes on the mainstream. We have a powerful community of SOLIDWORKS, desktop lovers, it's a vibrant community each year we notice it and you notice we could really include more than 20,000 new companies joining the club of SOLIDWORKS community. Now fourth quarter, we are at the beginning in that community of revealing the adoption or the value of the 3DEXPERIENCE platform. We saw very interesting sign. Basically the portfolio was rather was announced last year at the 3DEXPERIENCE world just before the lockdown and was available around the summer. And we saw very interesting dynamic. First, the desktop users are discovering what's the value of a backbone platform is, easy to acquire. It's about less than EUR 40 per user per month. So it gives you an idea. Easy, flexible. It's only on cloud, to really do collaborative work, to store data items, data on manage projects. So we see connection with ENOVIA project management in the SOLIDWORKS community. We also see connection, which was a surprise to us with data analytics, they use the platform to do data analytics, which we didn't expect this to be happening in the mainstream innovation market and it is happening with a core -- whole core business analyst on the platform on the syrup driver is integrated analysis, first SIMULIA on the cloud because it's easy to provision. It's one click away basically and but this is really was visible fourth quarter. So we expect to leverage that. And in fact, this 3DEXPERIENCE world 2022 will be online next week. Yes, it's a beautiful program and there will be significant showcases to the wide user community about what's the value of cloud based collaborative environment for SOLIDWORKS desktop lovers. So we see more this year. And of course, we will communicate, it's important for two reasons. First of all, it helps expand the scope of our product availability to those users. And it's a vibrant community very dynamic one and the second thing is access to new users, especially makers and innovators because of the affordability and ease of provisioning on the cloud. More to be discussed this year, but we expect to leverage that and use this as a significant lever. It's too early to do more assumption, but I believe we are going to build great stores this year.
PascalDaloz: Relative to the operating margin, Nicola, your computation is the right one. So you're right, I mean, almost 40 basis points is coming from the improvement of the profitability of Medidata. But there is something I want you to keep in mind. In 2020, a side of the research and development where we continue to invest actively having 10%, the increasing number of headcount for all the other functions, we were almost flat compared to last year 2019. So 2021, we need to reenergize the field ups, meaning we need to hire salespeople, to reinforce our -- to continue to accelerate our marketing funding, in order to regenerate and to accelerate the pipeline creations. To put the people back on the road. It means we're going to spend more on travels. So that's the reason why you can be considered the guidance being chide but the reality I'm planning to invest this year. To give you an order of magnitude, we will hire net more than 1,000 people for the full year. So that's what is in the guidance.
Operator: Our next question comes from the line of Jason Celino from KeyBanc Capital.
JasonCelino: Great, thank you. Can you hear me? Okay. So my first question, Q4, typically, when we would expect to see large activity to be more robust. But in terms of the large activity that you did see in Q4, how much do you think was catch-up activity versus maybe improved customer budget competence?
PascalDaloz: That's a good question. I don't know if I have a good answer for you. But I will give you some data points. We had two moments last year with our customers, the first one been the end of Q1. And they were looking for a way to reduce their recurring cost, and I was asking our heads to do so and also to connect the people, to enable them to work from home. What's happened at the end of the year, most of them they say; okay, now we have to be selective in our investments, because anyway, the situation will stay probably more than a year and we have also to rethink our product portfolio. So to a certain extent, I would say for the industry being under tremendous pressure like the automotive sectors, the aerospace sectors will consider that the reason why they are -- we have seen those last deal is because they make their mind and they are selective in their investment. And for them, we have -- we are the solutions, we are not the problems. Then being aside, I mean, we still have industry, like i-tech, the consumer or home and lifestyles, almost all the consumer related industry, where we have seen some willingness to invest, just to relaunch the machine for 2021. So I would say way to answer to your question is probably related by industry more than a general comment I could make.
JasonCelino: Okay, no, that's helpful. Maybe said another way, second half license guidance implies some meaningful acceleration. How would you describe your pipeline visibility today versus maybe last quarter? Are there any KPIs you can provide to how it went into your forecasting process?
PascalDaloz: Yes. So I was expecting this question. So I didn't get this morning in the pipeline. So it's collectivity well cover compared to the guidance I'm giving to you. We have seen a good coverage for the solution cells. And also for the rolls, where we have still progress to be made is for the process type of solutions where the pipeline could be a little bit better. But overall, we are relatively well covered. The second takeaway, we have back loaded so this of use, the profile of the year is not unfortunately equal every year every quarter, we see an acceleration as you notice.  And last but not least, I was checking by industry, what is visible in the pipelines, we have more contribution of the automotive sector this year compared to last year. The contribution for the full pipe is for the automotive and transportation and mobility at large is around 25% of the pipeline. It was less than 19% last year, if I remember, for IO space and defense is almost equal. And it's increasing also significantly for Life Sciences. Last but not least, the mainstream market as you notice is going relatively well. And this is true for SOLIDWORKS. But it's also true for the 3DEXPERIENCE works family. And we continue also on these growth drivers to generate new licenses this year.  Just one number on last year, with SOLIDWORKS itself, we won the 20,000 new customers, which means that in a difficult environment and the way we continue to capture new customers, and continue to expand our footprint. Those are qualitatively some of the KPIs I can share with you to give you some confidence on the licensed pipeline.
Operator: Our next question comes from the line of [Indiscernible].
UnidentifiedAnalyst: Yes, thank you. Good afternoon, gentlemen. I have three questions on my side; the first would be on the Medidata especially strong performance in the fourth quarter. Could you give us a little bit more granularity between the ECCO and your product? They were meaningful differences in what range? And especially what was the impact from the good number of trials on the vaccine? Was it a meaningful impact on your performance? So that's the first question. Second still on Medidata, I understand the margins are going up roughly two points per year. What prevents you from improving the margin faster? Is it because you want to reinvest, and then you just manage the margin in a way that it's a two point per year and nothing else. And my final question is on the Boeing, you think you had the free services in Q3 and probably again in Q4, so what kind of tailwind shall we expect in 2021 on our services revenue, from this recovery on the Boeing services? Thank you.
BernardCharles: Okay, so another question. And start to answer for one, so, to Medidata, I mean; the good performance was really across all Medidata product lines. So of usually, Medidata data rave, EDC is performing well, thanks to specifically the COVID-19 trial for sure. We are also seeing a very strong traction from my Medidata, and what is under the umbrella of what we call the patient cloud because more and more, we are connecting the patient directly. And this is I told you in my speech it's definitively the next EUR 100 million product line for Medidata. And we are also seeing a good tractions coming from the analytics and the data intelligence. Those are really the core drivers. We can also notice that with, rave, Medidata rave, we have the strategy to expand the scope, we call it the attach product. And you have seen that we have seen an increase of 20% of number of customers, expanding the scope beyond rates. So I think you can take all these indicators, they are collectively well aligned. Now coming back to the second question related to Medidata. Could we add more in terms of improvement of profitability? Yes or no because at the end, it's a sector where we are investing a lot. Because we are far from having developed everything the sector needs from our research and development standpoint. And these are -- and remember we are really a scientific company. We are building high barrier to entry and it will be a mistake to meet these activities. And by the way, not sure my friend [Indiscernible] they will be pleased with this. If they are listening, they would appreciate my comments. So we stick to the synergy plan. We have developed at the time of the acquisitions, and frankly speaking, the vast majority of the synergy, cost synergy was coming from the G&A. The fact that we are putting additional capacity in research and development in India, leveraging our capacity we already have. And also progressively migrating the cloud to [Indiscernible] this is where the cost synergies are coming from. The last question, which is related to the free services, I don't know if it's free services, or if it is the way to be loyal also with our customers. I think I prefer to look at this way. Because we are not only serving the rich people, we are also serving the company facing difficulties. And I was stating, clearly, we are the solution for them, not the problem. So I think it was also our common interest to secure our deployment and to accelerate it in order to preserve the growth for 2021 and 2022. Nevertheless, to answer to your questions, so in 2021, you should not expect any more of these kind of activities, because we needed at least for two quarters. And if you want to calculate the contribution of the services from Boeing, it's probably a midpoint between what they spend with us in 2019, and what they spend with us in 2020. That's probably a good assessment.
Operator: Our next question comes from the line of Jay Vleeschhouwer from Griffin Securities.
JayVleeschhouwer: Yes, thank you. Hello, Bernard, Pascal and Francois. Few questions, of course, let me start with SOLIDWORKS. And return to the subject of the progression of 3D x works. And I understand of course, it's only been half a year since you introduced the products. But my understanding is that you have a considerable ambition to make this a large business meeting in the several hundreds of millions of revenue over time as you penetrate the SOLIDWORKS space. So the question there is what are you thinking in terms of the potential penetration of the SOLIDWORKS space over the next several years? Our arithmetic suggests that every 1.2 penetration of a SOLIDWORKS space would add about EUR 15 million to the mainstream business. So it would seem if you do have considerable upside and penetration would add considerably to revenue, perhaps starting as early as this year. So maybe you could talk about that. And then separately, how are you thinking about the 2021 objectives for the manufacturing and supply chain businesses? DELMIA, quintic, and so forth? And a couple of follow up questions. Thank you.
BernardCharles: Thank you, Jay. On the mainstream innovation, I think it's too early to project the ambition that we have, as you said, is a very strong ambition. I think it's a realistic ambition. We have different drivers one; expand the portfolio to the available to the current vibrant, large, SOLIDWORKS community. But for example, I mentioned three of them just a moment ago, project management, integrated analysis on the cloud, collaborative innovation on the cloud, there are -- there is a good, there is a strong appetite for that on our partners, our partners, our distribution partners are discovering the value of that tool. So they can articulate it properly to this community. The second, o we are confident that this will be stronger labors in the years to come. The second of course, is to provide native browser based fully mobile SOLIDWORKS functionalities which we are making great progress with.  This is to reach new type -- reach new type of users. Because those new types of users they want really browser based access on mobile and so on. I think this is another dynamic that we are building up. So I believe that we will be able to articulate delever better this year. Next week, as you know, that we have this 3DEXPERIENCE world, there will be great stories communicated which are real stories with clients showing how they are expanding what they are used to get on desktop with the cloud rolls, we call that cloud rolls within the 3D Experience works family. So more to be seen in this year to really articulate better on quantify your question on manufacturing side, I think they are -- we are really game changer in this area. There is a lot of customer now considering that what we do in planning multi scale planning. What we do to do manufacturing connection with the supply chain, very high value for them. So that's another area where we are moving out from pure manufacturing engineering to really manufacturing execution ABS on MOM, by the way, not to forget DELMIA works for the SOLIDWORKS on the 3DEXPERIENCE works family, because I think we got also good data points on that aspect especially with certain segment of the industry. So, yes, but I don't have any more numbers to communicate with you at this point time except, Pascal, if you want to
PascalDaloz: You could expect the double digit growth for this product line, and to complement what Bernard said there is also something you need to take into account. The growth is not only coming from the traditional sectors for sale space and defense in the transportation and mobility, but on manufacturing side we see more and more so gross coming from the high tech sector. Especially, high tech, medtech, Life Sciences at large and also coming from the fashion industry as well. So this is where, the new vertical if you want we have opened the last few years. They start to basically embrace the solutions we have developed from the user industries.
JayVleeschhouwer: Okay. Couple of last things. Pascal, when you spoke last summer, you agreed with the expectation that in 2021 3dx new licenses would account for the majority of your new licensed business for the year, as you've been defining that percentage. Is that still your expectation? Perhaps has your ambition for the percentage or the magnitude of 3dx new business increased from last summer?
PascalDaloz: So okay, so Jay, the reality is the following. It's already the case for the solution itself. If you look at the direct sales for us, more than 50% of the licenses by far are coming from 3DEperience related product line. That's not true for the mainstream market. Because as you just mentioned before, we just introduced almost half a year ago, this product line, so and when you see the tractions coming from the mainstream market, I don't know, I would probably be a little bit shocked to have high for the license revenue for 2021 coming only from a 3D Experience related product family, but we will be closed.
JayVleeschhouwer: Okay, and then just to finish up, there was an interesting reference in the press release to some cross industry or cross segment initiatives within the Life Sciences is working with manufacturing and supply chain, something that you talked about at the Life Sciences Day in New York over a year ago. So that's really interesting, if you could elaborate on that. And if perhaps there might be other similar intra company initiatives across the various segments that you can begin to deploy or leverage.
BernardCharles: How I intent in Life Sciences, is to do what we did in other sectors, which is not only connected functionalities for design, simulation production, but industry solutions. We said that clearly when we strengthen our position in the -- for example with the biotech, because when you look at the bioreactors as Pascal said this morning, the product is the process. If you don't master the process, you cannot make the process -- the product. When a new chemical base pharma, it's relatively easy to produce. But as you can see in the vaccine ramp-up production, it's far more complex with bioreactors and this is where I think we have something significant to bring to those companies who have -- they are not being using many of the things we do for years now in the manufacturing sectors like digital commissioning, which is very critical like doing the digital twin experience of line. So you can find agile way to do here where they did some statistics on the line on improve it. We have done it with many showcases last year with big players, which way of release for them. That's where we think the industry solution for Life Sciences is going to be game changer as opposed to just collection of functionalities. Conducting research development, lab clinical trial, on the way you do ramp-up with bioreactors. So yes, it's part of the course, strategy of Dassault Systèmes. 
Operator: Our last question comes from the line of Michael Briest from UBS.
MichaelBriest: Thank you. Good afternoon, and nice way to sort the question sessions that ended in the same day, but to Pascal just looking at the 20% growth in Medidata and that's a real acceleration from 13% in Q3. And as a subscription business, why wouldn't that just continue sort of consistently? I don't understand why it would decelerate over this one time fees within that? And then I've got a question on new ODB.
PascalDaloz: Okay. So you'll remember the growth for Medidata is driven by two things; the new contracts and the renewal of existing contracts. What's happened in Q4, we renew significant contracts and when we renew it, we did not renew it at parity; we renew it with an increase. That's the reason why you have such an effect in Q4. Having said that as I stated this morning, the backlog grew significantly last year. So clearly, I'm relatively confused on the 14% gross for 2021. But this is the reason why you have this phenomenon in the last quarter of 2020.
MichaelBriest: Okay, so if I look at the revenues in November, December last year, it was EUR 123 million. And this year in October, it's EUR 50 million. And I appreciate the dollars weakened in that period. So if I adjust it still looks like it's making about $2 million. And it's just a very back end loaded quarter. I'm surprised that's not sustaining itself into 2021.
PascalDaloz: Again, Michael, this morning I have been relatively explicit. I was expecting these. I mean, I was expecting you, and others telling me maybe you're too conservative with Medidata. But and I've been transparent. It's a way also for me, given the profile of the year to potentially derisk the license growth. So could we do better? Probably, but we try to do better, probably for sure. But let me at least delivers the first quarter before to answer to your questions.
MichaelBriest: Okay, just a small one then. On the NuoDB with that all of the acquisition spends in Q4, I think it was EUR 69 million. I'm just curious. You owned 16% of it since 2013. Why is it so important to buy it now and how did you get to that valuation?
BernardCharles: Well, there are two questions. Variation is one aspect. I will let Pascal answer it. First of all, we are building on we want to total independency for our cloud stack. We are going to provide three types of cloud solution for our customers. Whereas in consumer business, we are in real as highly sensitive business. We are doing shared cloud, private cloud, and sovereign cloud. We are going to do the three. I think the issue of cybersecurity calls for the control of the entire stock. That's what we're going to do for the future on the NuoDB stock that is fixed which is very unique. And Pascal commented that this morning very from an elasticity standpoint, from key characterization of what we need. And we are in the sector, in our sector of virtual twin. We are the only one to be object based as opposed to file based all users are doing file management. We are not on. We have a major differentiation here in terms of security for the customer. Segregation of data for multi discipline collaboration, very deep characterization that no one else can offer.  So that's part of the differentiation and why we think customers are now understanding the 3DEXPERIENCE platform as a business platform for and when using this technology in NuoDB for now, three years, four years on the inside our cloud with tremendous success in terms of cost of operating it, on reliability and elasticity. So we think it's a competitive advantage. It was a smart position when we did it 10 years, seven years ago.
PascalDaloz: Seven, eight years ago.
BernardCharles: Now valuation.
PascalDaloz: Though but there have -- we also had one comments what you say we are not the only one. I'm thinking this, because you remember when announced the acquisitions NuoDB, we communicated with source on the fact that we are partnering with Temenos, and Temenos you know them.
BernardCharles: The financial service company.
PascalDaloz: Yes. And the database is really super critical for them for the same reason than us. So we are partnering with them, and they're going to use this technology in their cloud also. Now related to the valuation it's a little bit more than 100 million EV.
MichaelBriest: And that was the only acquisition. There's nothing else in the 69 fourth quarter.
PascalDaloz: Yes, it was.
Bernard Charles: Thank you everyone for participating to this call. We always appreciate your question. We'll continue first to address them on the go. And I wish you all a good year. I hope the situation will improve. Let's make sure that plants can work better to produce a vaccine. So we have a lot of work to do. Thank you very much. I'll talk to you soon. Goodbye.
Operator: Ladies and Gentlemen, that concludes your conference for today. Thank you for participating. You may now disconnect. Thank you.